Operator: Greetings, and welcome to the Leggett & Platt Second Quarter 2017 Earnings Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Dave DeSonier, Senior Vice President, Strategy and Investor Relations. Please begin Mr. DeSonier.
Dave DeSonier: Good morning and thank you for taking part in Leggett & Platt second quarter conference call. Joining me this morning are the following: Karl Glassman, who is President and CEO; Matt Flanigan, our Executive VP and CFO; Perry Davis, EVP and President of the Residential Products and Industrial Products segments; Mitch Dolloff, EVP and President of the Furniture Products and Specialized Products segments; and Wendy Watson, our Director of Investor Relations. You will note that Susan McCoy, our VP of Investor Relations is not joining us today for the call. I can't remember when the last time Susan missed one of these. She is out of the office today attending to a medical issue. The agenda for our call this morning is as follows. Karl will start with a summary of the major statements we made in yesterday's press release and provide segment highlights. Matt Flanigan will discuss financial details and address our outlook for the remainder of 2017 and finally the Group will answer any questions that you have. This conference call is being recorded for Leggett & Platt and is copyrighted material. This call may not be transcribed, recorded, or broadcast without our express permission. A replay is available from the IR portion of Leggett's website. We posted to the IR portion of the website, yesterday's press release and a set of PowerPoint slides that contain summary financial information along with segment details. Those documents supplement the information we discuss on this call, including non-GAAP reconciliations. I need to remind you that remarks today concerning future expectations, events, objectives, strategies, trends, or results constitute forward-looking statements. Actual results or events may differ materially due to a number of risks and uncertainties and the company undertakes no obligation to update or revise these statements. For a summary of these Risk Factors and additional information, please refer to yesterday's press release and the section in our 10-K entitled forward-looking statements. I'll now turn the call over to Karl Glassman.
Karl Glassman: Good morning and thank you for participating in our second quarter call. Yesterday we reported another quarter of sales growth despite weak demand in several of our businesses. For the full-year we continue to expect sales growth and strong earnings. Second quarter sales increased 3% to $989 million. Organic sales grew 4% from continued strength in automotive and adjustable bed and raw material related price inflation. Divestitures completed in the last 12 months reduced sales 2.2%, while acquisitions added 1.8% to sales growth. Second quarter earnings per share were $0.64 versus $0.72 in the second quarter 2016. Compared to last year's adjusted EPS of $0.66 in the second quarter, EPS declined $0.02. Adjusted EBIT decreased in the quarter versus second quarter last year primarily due to the pricing lag associated with passing along higher raw material cost. The second quarter EBIT margin of 12.4% is a 290 basis point decrease from second quarter 2016 reported EBIT and a 140 basis points decrease from second quarter 2016 adjusted EBIT. Price increases went into effect during the quarter to recover higher steel costs but we had not fully worked through our typical 90-day pricing lag. Earnings and margins continue to be compressed during the second quarter but should improve over the remainder of the year. Given our second quarter results and continued softness in some of our end markets, we have narrowed our full-year EPS guidance on a 1% lower sales outlook. Matt will discuss our 2017 guidance in a few minutes. Now to the segments. In residential products second quarter sales were flat with a 3% decrease in organic sales offset by acquisitions. Lower pass-through sales of adjustable beds reduced segment sales by 4%. Volume decreased an additional 1% offset by a 2% sales increase from raw material related price inflation. As a reminder, the adjustable bed sales headwind will begin to anniversary in the third quarter. U.S. Spring component dollar sales were down 6%. Innerspring units were down 8% with a 2% decrease in Comfort Core units. Box spring unit volume was down 6% in the quarter. International spring sales were strong with dollars up 11%. Machinery sales decreased significantly primarily from a large sale in 2016 that did not repeat, offsetting organic growth from the other parts of the segment. Setting aside last year's litigation gain, segment EBIT increased and EBIT margin improved primarily due to the pass-through of raw material cost increases in the second quarter and a favorable sales mix. In the Industrial Products segment, second quarter total sales decreased 7% largely from divestitures completed during 2016. Organic sales were up 1% with steel related price increases offsetting lower volume. The industrial segments EBIT and EBIT margin are more directly affected by raw material price increases and the lag in passing those increases along. The second quarter EBIT and EBIT margin decreased due to higher raw material cost and lower volume. In the Furniture Products segments, second quarter sales increased 7%, adjustable bed sales grew 29%, work furniture and home furniture sales also increased. These gains were partially offset by lower sales in fashion bed. Segment EBIT and EBIT margin decreased primarily from an unfavorable sales mix and raw material cost increases. In the Specialized Products segment, second quarter organic sales increased 5% with continued strength in automotive and aerospace, partially offset by currency impacts and declines in CVP. Excluding currency changes, automotive sales grew 11% and aerospace organic sales increased 7% in the quarter. The segments EBIT and EBIT margin were down slightly with the benefit from higher volume offset by growth related costs in automotive, higher raw material cost, and other smaller items. I'll now turn the call over to Matt.
Matt Flanigan: Thanks Karl. Good morning everyone. Cash from operations was $98 million in the quarter, a decrease of $53 million versus second quarter last year primarily due to lower earnings and increased working capital. This working capital increase resulted primarily from higher inventory to support sales growth in new programs, increased accounts receivable, and the inflation impact on both inventory and accounts receivable. We ended the quarter with adjusted working capital as a percentage of sales at 11.8%. We expect our full-year operating cash to approximate $450 million as uses of cash for the full-year, capital expenditures should approximate $160 million, and dividend should require about $185 million. In May, we increased the quarterly dividend by $0.02 to $0.36 per share, a 5.9% increase versus the second quarter of 2016. The dividend payout as a percentage of adjusted earnings is within our targeted range of 50% to 60% and we continue to expect future dividend growth to approximate earnings growth. At yesterday's closing price of $51.79 the current yield is 2.8%, which is one of the higher yields among the 51 companies that comprise the S&P 500 Dividend Aristocrats. During the second quarter, we repurchased 200,000 shares of our stock and issued 200,000 shares, largely for employee benefit plans and option exercises. For the full-year, we currently expect to repurchase around 3 million shares and issue approximately 1.5 million primarily for employee benefit plans. As always our top priorities for use of cash are organic growth, dividends, and strategic acquisitions. After funding these priorities, if there is still cash available, we generally intend to repurchase stock rather than repay debt early or stockpile cash. We have a standing authorization from the board to repurchase up to 10 million shares each year however no specific repurchase commitment or a timetable has been established. Our financial base remains very strong. We ended the second quarter with net debt to net capital of 39%, near the high-end of our longstanding target range of 30% to 40% reflecting working capital investment in our typically large first quarter stock repurchases. We also monitor debt-to-EBITDA and ended the quarter with debt at two times our trailing 12-months adjusted EBITDA. We assess our overall performance by comparing our total shareholder return to that of companies on a rolling three-year basis. Our target is to achieve TSR in the top one-third of the S&P 500 over the long-term which we believe will require an average TSR of 11% to 14% per year. For the three-year period, they will end on December 31, 2017; we have so far generated compound annual TSR of 11% per year. That performance places us within the top 39% of the S&P 500. As we announced yesterday, we lowered our sales guidance for 2017. Full-year sales are now anticipated to be $3.9 billion to $4.0 billion or up 4% to 7% versus 2016. We expect low-to-mid-single-digit volume growth from strength in automotive, adjustable bed, International Spring, Work Furniture, and Geo Components. Raw material related price increases should also add to sales growth. The sales impact from divestitures completed during 2016 should be largely offset by acquisitions in 2017. We are narrowing our 2017 EPS guidance and now expect full-year earnings from continuing operations of $2.55 per share to $2.65 per share versus our prior range of $2.55 to $2.75 thereby lowering the mid-point of our guidance by a nickel to $2.60. With those comments, I will now turn the call back over to Dave DeSonier.
Dave DeSonier: That concludes our prepared remarks. We thank you for your attention and we will be glad to answer your questions. In order to allow everyone an opportunity to participate, we will request that you ask only one question and then give it to the next participant. If you have additional questions please reenter the queue and we will answer those questions as well. Rob we are ready to begin the Q&A.
Operator: Thank you. [Operator Instructions]. Thank you. Our first question today comes from the line of Susan Maklari with Credit Suisse. Please shoot your question.
Susan Maklari: Good morning.
Karl Glassman: Hi Susan.
Susan Maklari: It's so good to be back.
Karl Glassman: It's great to have you back, Susan.
Susan Maklari: Yes. So from my first question can we talk a little bit about the bedding market maybe how things trended during the quarter, it sounds like Memorial Day maybe was a little softer than what had been expected and how that industry sort of positioned as we think about the back half of the year.
Perry Davis: So Susan this is Perry Davis. Yes as far as the pace during the quarter we saw our shipments of product weaken kind of as the quarter went along. June was a particularly tough month, obviously overall unit shipments down 8%. ComfortCore our category that has over the last three to four years grown significantly down too so as a percentage of what we're shipping is still a relatively high percentage and growing. I think in the quarter we shipped 36% of our shipments were in the ComfortCore category. But again we saw that the quarter get ComfortCore went along. Now I would add to that though in looking at the last three weeks during this July now we're encouraged by some stronger year-on-year numbers that we've seen so hopefully we'll begin to see a little bit of the turmoil that's affected the industry over the first half of the year. Again to settle out and hopefully with all the four placements in place now that we can see a more normalized business right as go into the third quarter.
Susan Maklari: Okay, that's helpful. Thank you. And then just thinking about the inflation that came through during the quarter sounds like you've got the price increases in place to sort of offset that but how are you thinking about steel prices as we go forward and maybe you know how that could impact the results?
Perry Davis: Yes, well. We had a longer-term vision obviously that's always a case with steel commodities. But right now it looks like things are relatively stable. We anticipate scrap rod pricing to be relatively stable at least through August. As you're aware there are numerous things that have been going on behind the scenes in the steel market with the potential for the 232 action by the President. There is an ongoing anti-dumping case against Tim Geographies that we will see commerce review in August. So there is some uncertainty out there. The 232 action now looks like it's been delayed on into the first part of next year. So, I don't really know what the effects of that will eventually be but it looks like as of now that's kind of been set back on the back burner a little bit. The dumping case if it should go through. I think there's a reasonable chance of going forward if we see scrapped fall slightly. We would probably see rod not move, if scrap goes up I believe we'll see rod goes up probably give a little bit more leverage to those rod producers in the marketplace.
Operator: Our next question is from the line of Robert Majek with CJS. Please proceed with your question.
Robert Majek: Just on your operating cash flow guidance to remain unchanged at $450 million or so. Was there previously cushion built in or are there some other offsetting factors that play here?
Matt Flanigan: Robert this is Matt. I mean the operating cash flow now and so for the full-year approximately $450 million is really representing a little bit higher investment in the working capital than we would have anticipated through the first half of this year. Again something we're excited about doing because those are supporting organic growth opportunities but nonetheless our DSOs out a little bit longer than we would have thought and our inventories are just a tad longer. So we feel very good about where our operating cash flow obviously is positioned and again where that cash has been going. You'll also notice just relative to the uses of cash. We bought back most of the shares already this year. We're earmarking about $3 million for the full pace of 2017 and we're about $2.4 million thereabouts as we sit here today. So, no, no surprises on the operating cash flow story except that again working capital is a bit higher right now but we'll -- we'll make sure that's managed well.
Robert Majek: Thank you. I'll hop back in the queue.
Matt Flanigan: Thanks.
Operator: The next question comes from the line of Budd Bugatch with Raymond James. Please proceed with your question.
Bobby Griffin: Good morning everybody. This is Bobby filling in for Budd. Thank you for taking my questions.
Karl Glassman: Good morning, Bobby.
Bobby Griffin: I just want to follow-up back on Susan's questions about bedding. I'm really just looking at the delta between U.S. Spring Component dollars and then innerspring units and it narrowed this quarter in 2Q versus 1Q which is a little bit surprising to me given all the content gains. So I was hoping that maybe just get an update on how the content gains are progressing and kind of what we should think about with that delta moving forward.
Karl Glassman: Yes, Bobby, I think the content gains that we've talked about in the past with our Quantum Edge products and with those upholstery layer, pocket spring products those things we haven't change any of our modeling around that. Those things are all good and well add content as time goes along really one of the things we didn't anticipate so much is just a general challenge in overall unit volume. And as I said as we ended the quarter on a kind of a weak note that's been our challenge the -- I think we'll begin to see with a little bit of a pickup and again some finalization of some flooring on some of these products that now we will begin to enjoy those content gains. But they are masked by the overall macro demand environment right now.
Bobby Griffin: Okay. Is the challenge inside the industry is it facing more on kind of a lower promotional price unit in a pretty broad base I'm just trying to get a sense if some of the -- some of the customers that might have more content get being added to their units are struggling a little bit more than maybe the lower prices they don't have as much of the new technology that we saw in Las Vegas.
Karl Glassman: It's generally pretty much across the board right now. I can't say that there's one particular category such as premium or mid liner. It -- there is the pain has been a little bit spread across the board. There's no doubt that with what's happened over the last few months within the industry and the turmoil and the remixing of the ingredients it's not helped the situation. Now we talked about last quarter, the fact that increased promotional activity in general should be good for us and we believe it is and will be. But I don't believe it's been able to this point offset the overall macro demand environment. As we go forward and that promotional activity stays at the pace it is or possibly even picks up as we get towards the Labor Day weekend selling period I think we'll begin to see the effects of that. There's no question our demand and the demand of our customers and retailers is directly correlated to the amount of promotional activity that goes on.
Bobby Griffin: I’m sorry go ahead Karl.
Karl Glassman: Let me help a little bit in that, you noticed while it was probably a little scuttle, while our call on CapEx forecast for the full-year moved from $150 million to $160 million. There were, there are three drivers of that. One is continued automotive awards so that's gobbling up a little bit more the CapEx that we've been -- we expected some of it is continued growth in our International Springs primarily Europe. But the third kind of the leg of that stool is that continued penetration of both Quantum Edge and microcoils. So, the adoption of that product category by a broader subset of U.S. bed based manufacturers continues to grow. So, to your question that it was just into Perry's point it was just a bizarrely odd unpredictable nobody could have predicted the disruption in the bedding markets in the second quarter that in no way mitigates our long-term enthusiasm for content gains.
Bobby Griffin: Okay, okay that's helpful and that's actually a good segway into my last question there about automotive appreciate the extra detail there. But just Mitch can you maybe provide us a couple examples or help us think about some of the growth investments as the new technology or kind of new product offerings or anything like that.
Mitch Dolloff: I think both. I mean we think about our products very much as technology drive in the industry towards increased Comfort content or convenience features coupled with light weighting which means smaller space, lower weight products, all that drives significant technology change for us. We think that's a very good thing. That's what we hang our head on to win. So, if some of that’s fits around account both at the engineering level, at the plant level as new programs ramp up some of investment in equipment, some investment in actual plant capacity in terms of building. So that's really what drives it.
Bobby Griffin: Thank you. I appreciate all the detail and best of luck going forward.
Mitch Dolloff: Thanks, Bobby.
Operator: Our next question comes from the line of Peter Keith with Piper Jaffray. Please proceed with your question.
Peter Keith: Hey good morning team. Karl, I wanted to get your big picture perspective here you're halfway through the year, what's your view on the global consumer spending environment and are there any pockets of strength or weakness that that would stand out to you at this point?
Karl Glassman: Peter, that’s interesting as I kind of deconstruct the first half which obviously done a lot of them in this last week. I tend to think of the negatives and not the positives but there are a lot of positives out there Mitch's commentary around the global auto build there is a lot of conversation, a lot of the U.S. investment community too much focuses on U.S. demand where we're so well positioned around the globe. We've seen significant auto demand recovery in Europe and forecast that going forward along with the Asian build. The commentary around the global Innerspring business, there is strength in Europe it's significant but also South America and Mexico we've had significant market share gains there as well. So there's pockets of demand from a U.S. perspective that's probably the most disappointing consumer market and it wasn't just bedding you saw it in our fashion bed business which is highly correlated to this function in U.S. retail. But the rest of the globe seems to be performing more fully in this recovery post-recession in the U.S. right now. I don't know if it's just a step function change. The external data flow tells us that things should be better than it is at the point of sale.
Peter Keith: Okay, that's interesting and maybe just a follow-on, so with the reduction of the sales growth outlook of 1%, what areas of business are you guys revising down the most?
Karl Glassman: It's a recognition of the soft bedding environment in the second quarter and actually the first quarter was a little disappointing in U.S. bedding as well, so that would be the primary driver. Concerns about machinery has been soft albeit small, CVP certainly has underperformed. The bedding -- U.S. bedding weakness has a high correlation to the softness in our industrial materials demand while the -- you've heard us speak to the pricing power there. My goodness we could sure to use more tons. So it really is U.S. focused.
Operator: Your next question is from the line of Keith Hughes with SunTrust. Please proceed with your question.
Keith Hughes: Thank you. Questions in the specialized segment in the slides you talk about the reason for the margin decline being cost associated with growth. Is that kind of a ramp up of costs associated with some of these automotive awards, you talked about the CapEx are there other things going on?
Mitch Dolloff: This is Mitch. Yes if you think about it the award cycle for automotive, we win a program a couple years ahead of start up production. We have to get production equipment ready, we have to sample off of the Live tools, so we have a lot of cost ahead of the actual zero production. Then when it starts the production it doesn’t start up at full volume, it starts at lower volume and ramps up over time. So you're sort of this constant cycle of programs ramping up and ramping down. But so in this case, we have significant investment in people, in plant, in overhead for some large new programs that aren't ramped up to full volume. So that's really had a little bit of disparity between the timing of the investment and getting up to full sales volume.
Keith Hughes: And when will those go into production or show up in sales or margins things like that?
Mitch Dolloff: It's hard to say that. I mean this sort of this constant cycle it’s just that we tend to have a few large ones that are ramping up now. So we -- it’s a little bit lumpy as a way to think about it right, we may -- we have to have some building expansion, we have to do have significant capital equipment or people expansion as volumes ramp up. So it's kind of part of a normal cycle, it just has to be a little bit lumpy. So we've added capacity today that will smooth out over the coming year.
Keith Hughes: And that’s your segment with margins being down, exactly how our customer base will love to hear about price increases is that something you can offset some of the inflation in the second half of this year?
Mitch Dolloff: In the specialized segment, no not really, we signed up for fixed pricing, we think our -- that margin profile is still very strong in the long-term.
Operator: Your next question is coming from the line of Spencer Joyce with Hilliard Lyons. Please proceed with your question.
Spencer Joyce: Hey good morning guys, just a quick one for me, perhaps if you could update us a little bit on the M&A pipeline and now we saw a nice little deal in Q1 that's by my math turned out pretty well so far, just any broader kind of macro updates there and maybe if we should be modeling anything into the cash flow for the back half of this year?
Karl Glassman: Yes, Spencer, from a model perspective, we've said based on last three years assume about 2% top-line growth from M&A going forward. We're pretty much there with what we've done in the first quarter. But I will say the pipeline is more robust than at any time that I can remember our corporate development people have been extremely busy. So there is a lot of opportunities that we continue to make our way through obviously we will only always make acquisitions that are strategic and add value. So we continue to be very disciplined in our analysis. But yes I would think that there would be more acquisition activity in the future than there has been in the last couple of years but the timing of acquisitions is a game that we can play, I know that there is a lot of analysis.
Spencer Joyce: Absolutely well understood and that's very helpful. Perhaps if I could just pivot very quickly to the bedding environment. Do you just talk for a second or two about what give us confidence that the weaker sales that we saw in the first half is really just an anomaly for the industry and not the results of any kind of competitors or any kind of industry permanent dislocations there?
Mitch Dolloff: I think part of it is an anomaly, the demand environment as Karl said is not where we thought we would be just a few months ago and based on some of the macro factors we see it's hard to understand why other than a lot of the disruption, there's a lot of talk still about the bed in the box phenomena. We are -- that is an area of growth in the business, I believe that is having some effect on retail. But from our standpoint, it's not something that we're overly concerned about because we participate in that. And we have recently perhaps just the last few weeks seen some indications of the folks that are participating in that market trending towards hybrid type products, an awful lot of interest right now in hybrid products and there will be introductions happening over the next several months that will bear that out. So from the standpoint of a component supplier to that industry, we're not concerned about that detracting from our business. I would say when you look at our foundation pieces which were off during the quarter, our box spring pieces some of that is being well the macro environment has its effect. Some of that is being affected by a continuing market share gain in adjustable foundations and so that's a switch out and that switch out for us obviously overall is a good thing.
Spencer Joyce: Okay. Yes, points well taken, that is exactly what I was looking for very helpful. That's all I have. Thanks guys.
Karl Glassman: Thanks.
Operator: Your next question is from the line of Herb Hardt from Monness Crespi Hardt. Please go ahead with your question.
Herb Hardt: You folks have been pretty successful with acquisitions as mentioned earlier, are there any new areas you're thinking about?
Karl Glassman: Herb, you've heard our commentary on the analysis that we've done on styles of competition or areas of competitive advantage and we continue to do that analysis and analyze markets that may be more attractive to us as new growth platforms much like the analysis we did on aerospace that's now nine years ago it's hard to believe. So yes there's areas that we -- we continue to look at that we think that we can add value but it's too early to call any of them out.
Operator: Next question is from the line of Justin Berger with Gabelli. Please proceed with your question.
Justin Berger: Good morning. It's nice to be on the call.
Matt Flanigan: Hi, Justin.
Karl Glassman: Welcome Justin. Thank you.
Justin Berger: I want to adjust the change in the operating margin guidance and just try and clarify if that is mix driven, sort of priced raw material cost timing or P&L investments related to auto CapEx.
Karl Glassman: Actually Justin it's a combination of all of those things. It's a recognition that the first half was softer than we expected. So we had lack of unit growth so that's part of it in the associated overhead recovery that comes with it. I don't think it's pricing to a great degree. It's a recognition that there are some imputed cost as we grow programs so it's little bit of all of those things.
Justin Berger: Okay. But I guess if we adjust for the sort of lower tax rate, the negative leverage on the 1% volume seems larger than what would be normal so I'm trying to sort of understand beyond the volume deleverage what might be at play.
Karl Glassman: Boy, it's not like you said it's not any one thing that stands out, it's just looking at our forecast and giving a best swing from a guidance perspective and then doing the result in math.
Justin Berger: Okay. But there's no mix issue, material mix issue at play.
Karl Glassman: Not significantly mix always changes ebbs and flows but nothing no significant customer loss or program loss or market sector change so it’s mix shifts or little ancillary adjustments but nothing of substance.
Justin Berger: Okay. And then on the cash flow guidance I guess you're taking up your CapEx $10 million you're claiming working capital might be a little bit more negative in the year than you thought so and then of course earnings is slightly lower so what's allowing you to keep operating cash flow guidance intact is that -- is there a cash tax impact that's going to benefit you that wasn't part of earlier guidance or something else.
Matt Flanigan: Well good question Justin. So we're guiding now on cash flow to be approximately $450 million in the first half of the year we estimated $450 million so really it's just the working capital component really that is a little bit difficult to predict just because of the pieces involved there whether it's inventory what's happening in then asset category account receivables obviously and offset by payables. It's very clear as you know in our seasonality in that in the third fourth quarter particularly the fourth quarter is a significant timeframe where we generate cash coming out of working capital. So, as you look at the first six months of this year and having had working capital collectively bracket at about $110 million on our operating cash flow that's higher than we would expected probably about $30 million higher than we would expected at this point in time. But then again as we go through the back half of the year we expect that to be a positive number bringing down that full-year impact. And just my opinion I think certainly there's -- there's a bias we that will do better than approximately $450 million. But we will say again some things in that mix that are a bit hard to predict but I would again reiterate just like Karl did on the capital spending side that these dollars we feel really good about where they're going because they're underpinning our organic growth game plan in many of our business units.
Justin Berger: Okay, it's just still hard for me to sort of reconcile that $10 million higher Cap Ex. I guess $7 million lower net income and call it I don't know maybe $10 million higher working capital to a relatively unchanged operating cash flow guide I mean is there some offset I'm missing. 
Perry Davis: We changed the verbit so, last quarter we would have said in excess of $450 million and today we're saying approximately $450 million. So it did come down. There's not discrete numbers that we posted that the way we speak to it has changed.
Operator: Our next question is from the line of Dillard Watt with Stifel. Please proceed with your question.
Dillard Watt: Mitch any change on the spread you expect on global auto unit growth versus what you're going to recognize you talked a little bit about new program wins but of course I know you had things rolling also so, any change over the next 12, 18 months or even further out I guess.
Mitch Dolloff: Yes, thanks for the question. No change in our long-term outlook we've said consistently we -- our goal is to grow at 1,000 basis points over the market. We continue to do that and we see still believe our ability to do that going forward. Karl made a lot of discussion around declines unit volume year-over-year in North America. We're still performing very well in North America as well as the rest of the world so we remain very positive.
Dillard Watt: Sort of still a low-single-digit global production forecast.
Mitch Dolloff: Yes, that's right. We look at IHS vehicle production forecast and so we kind of break it up into the developed markets U.S., Europe, China, Japan, South Korea. And we see that at about 1.7% both for 2017 and if you look at it say at 16 to 20-20 CAGR right around that 1.5% or so percent. And then we’d see, a little bit faster growth in the emerging markets which typically have less content than the developed markets but still as an opportunity is very much a global business for us. So that would bring global growth to up maybe a pointed to 2, 2.5 so, yes we think that’s the right somewhere around 2% is probably right way to think about it.
Dillard Watt: Okay, thanks and saying in that segment couple of quarters ago I know there is some I guess some market share loss in aero business in I think that improved in the first quarter and is looking pretty good here in the in the second. Is that all sort of back on track and did you have to I know pricing was a component of that in the fourth quarter when you, when it slowed down so are we operating it maybe a little bit lower of a products margin there or where do we stand.
Karl Glassman: No, it's a good question. Thanks. I think that today we are in better position than we were in the fourth quarter. It's very business specific. So our seamless tube business is doing very well. Our fabricated tube business is doing very well. We had more trouble with our web tube business than the U.S. the fourth quarter I think we've got that stabilized today. We have had in some places where we had too aggressive margin expectations to correct those but it's not really very broad based so its I think we've, we've done a good job to stop the share loss and to get some of that product back so, I don't see any major change going forward.
Dillard Watt: Okay. And then finally on adjustables, I know in the first quarter we talked about some program wins that went in earlier than you expected obviously a very strong number here in the second quarter which is sort of disconnected from what the overall market is doing. I'm sure it's due to the program wins does that kind of slow down meaningfully in the second half. Just this you get all the stuff shipped out in the first. 
Karl Glassman: No, we just not we expect the rest of the year to continue to be very strong for us in adjustable beds.
Dillard Watt: In that you talked about mix being a margin drag is that partially due to some of it, I guess more entry level price point products that are shipping out here more recently as the high end stuff is little bit more penetrated.
Karl Glassman: It's not really an adjustable bed issue, it's more of an impact from our fashion bed business where we had significantly less sales of our threat core bending support business there so from it's true that that we see average unit selling price decrease in retail for adjustable bed base that our guys have done a really good job of keeping up with that on the cost side and the development side.
Operator: Thank you. At this time I’d like to turn the floor back to management for closing remarks.
Karl Glassman: We’ll just say thank you. We appreciate your time and we’ll talk to you again next quarter.